Operator: Good day, and welcome to the Fourth Quarter 2012 Earnings Release Conference Call for Jones Lang LaSalle Incorporated. Today's call is being recorded. Any statements made about future results and performance or about plans, expectations and objectives are forward-looking statements. Actual results and performance may differ from those included in the forward-looking statements as a result of factors discussed in the company's annual report on 10-K for the year ended December 31, 2011, and in other reports filed with SEC as well. The company disclaims any undertaking to update or revise any forward-looking statements. A transcript of this call will be posted and available on the company's website. A web audio replay will also be available for download. Information and the link can be found on the company's website. At this time, I'd like to turn the call over to Mr. Colin Dyer, Chief Executive Officer, for opening remarks. Please go ahead, sir.
Colin Dyer: Well, thank you, operator and hello to everyone joining this review of our fourth quarter and full year 2012 results. I'm in Chicago today, and Lauralee Martin is with us in our San Francisco office. As you may know, on January 1, Lauralee stepped into the role of America's CEO, taking over from Peter Roberts, who served in that position very successfully for 10 years during which time we increased revenue sixfold in the region. Peter is now taking on new responsibilities as the firm's Chief Strategy Officer. The search for Lauralee's replacement as CFO is well underway, and she has agreed to continue in a dual role until the new CFO is on board. So before Lauralee reviews our performance in detail, let me summarize our results. Gross revenues totaled $1.2 billion in the fourth quarter, a 9% increase in both U.S. dollars and local currency from the fourth quarter of 2011. For the full year, gross revenue reached $3.9 billion, up 10% in U.S. dollars from 2011, 12% in local currency. Full year adjusted net income was $245 million or $5.48 a share, which is 13% higher than in 2011. Finally, during the fourth quarter, we completed a $275 million 10-year bond issue, further strengthening our investment-grade balance sheet. Revenue growth in the Americas was driven primarily by our property and facilities management business and by our brokerage and capital markets business lines, which both continued to take market share from competitors. Improved results in EMEA benefited from a strong finish to a year characterized by very difficult market conditions. Market share gains through the year, productivity improvements and the full year benefit of King Sturge contributed to these improved results. In Asia Pacific, our leasing and capital markets businesses also grew year-on-year, while market volumes and leasing activity were both down for the region as a whole, again indicating increasing market share on our part. Meanwhile, our Asian corporate outsourcing business also had a very good year. At LaSalle Investment Management, our commitment to create strategic partnerships with major investors along with continued investor support for the core investment products that lifted our LaSalle strengths contributed to a solid year in our funds management business. So taken together, we completed 2012 in a strong position, and we think that that will contribute to continued growth in this coming year. So let's first discuss market conditions. In 2012, global GDP grew by 2.6%, led by Asia Pacific with 4.8% growth, while growth in North America was just about 2% and Europe GDP was flat year-on-year. To summarize current conditions in global real estate markets, we posted slides in the Investor Relations section of our website, jll.com. Slide 3 shows the Jones Lang LaSalle investment sales clock, which we update each quarter. It's a picture of conditions in major markets around the world which are at different stages of the real estate cycle. Capital values for prime offices in 24 major office markets continue to increase in 2012, up 3% for both the fourth quarter and the full year. Global investment sales volumes were up significantly in the fourth quarter to $147 billion, 24% higher than the fourth quarter of 2011. 2012's solid finish generated full year investment sales volumes of $443 billion, slightly above 2011 levels. As the clock indicates, while capital values continue to increase in most major markets around the world compared to the prior year, the rate of growth has slowed in a number of key markets. Slide 4 summarizes conditions in major leasing markets around the world. Office leasing activity was subdued in 2012, with full year gross leasing volumes down by about 20% on 2011, 20% lower in the U.S. and down 9% in EMEA. The sharpest decrease, about 30%, was in Asia Pacific. But this was against record 2011 results in that region. For the fourth quarter, take up was done 22% globally year-on-year and down 32% year-on-year in the U.S, driven by concerns over the impact of the fiscal cliff. Volumes are 1% lower in Europe and down 15% in select Asian markets. The vacancy rates across 98 global markets remain stable in the fourth quarter at 13.2% as vacancy declines in the U.S. and Europe were offset by increases in Asia Pacific. Prime rental growth slowed in the quarter, increasing 2.1% year-on-year, while Beijing, Sao Paulo, Mexico City and San Francisco recorded the strongest rental growth in 2012 while demand falls, so prime rent decreased furthest in Hong Kong, Singapore, Paris, Madrid and Brussels. So with that general market background, I'll turn the call over to Lauralee to discuss our results in more detail.
Lauralee E. Martin: Thank you, Colin, and good afternoon to everyone on the call. As Colin mentioned, we finished 2012 with a strong fourth quarter. We had another record-setting year of revenue and drove a 13% adjusted earnings per share growth compared with last year. We'd improved our transactional revenue performance, particularly in the Americas and Asia Pacific through investments and market share gains. And we're pleased with the improved margins in EMEA, reflecting early payback on the cost actions we've taken. We continue taking restructuring actions during the fourth quarter. Some of those related to the ongoing efforts to fully integrate the King Sturge merger, but we've also been aggressive in the areas of the business that are projected to remain economically challenged for an extended period of time. Approximately $8 million of the fourth quarter total of $13 million of restructuring charges was the result of those focused efforts. Turning to our regional results. In the Americas, fee revenue increased 11% in local currency over 2011, with the largest nominal contribution coming from leasing. Our efforts continue to be focused on building market breadth and depth of services and increasing our market share. We're pleased to report another quarter of improvement. Our fourth quarter growth in leasing of 8% compares favorably to overall office leasing volumes, which were down 32%. Capital Markets & Hotels also finished with a strong fourth quarter and delivered 25% growth for the full year compared with overall market investment volumes up only 11%. There were 2 significant unusual compensation expense items, both of which were acceleration, not additional cost, impacting our fourth quarter and full year results in the Americas, which resulted in a margin decline compared with the year ago. First, as we've explained in the previous quarters, our results were impacted by our 2012 termination of the stock ownership plan, or what we call our SOP, which in prior years facilitated payments of portions of bonus as restricted stock units that vested in future years. As a result of terminating this program, we recognize compensation expense in 2012 of just over $5 million that was not incurred in 2011. Second, we recognized an additional $5 million of compensation expense in the fourth quarter related to the acceleration of a $115 million of the final Staubach deferred payment. As part of this payment acceleration, the vast majority of Staubach shareholders who work in the firm extended their employment agreements with us. Again, both of these items are accelerations of expenses that would have been taken in 2013 or beyond. Absent the impact of the combined $10 million of accelerated expense items, our year-over-year EBITDA margins in the Americas would have been consistent with the prior year. We're very proud of our results in EMEA against a down market. Full year fee revenue increased 9% in local currency, with year-over-year growth across all business lines led by project and development services. We continue to thrive in the larger, more stable markets across the region, that of England, France and Germany, and had taken actions to rightsize those loss-making countries so they are at a neutral to positive financial positions. We've seen marked improvement from both MENA and the Netherlands over the course of the year, with each moving from a loss to a profit for the full year 2012. Even a margin calculated on a fee basis for the year increased a full 1.5 points to 8% in 2012 from 6.5% last year, with much of this attributable to an outstanding performance in the fourth quarter. Fourth quarter EBITDA margin was 16.2%, up from 13.5% last year. We also had a very successful fourth quarter in Asia Pacific, increasing both operating income and EBITDA margins by a full percentage point. Fee revenue across the region was up 11% in local currency, driven by 20% growth in the fourth quarter. We had particularly strong revenue in Capital Markets & Hotels, resulting in 79% year-over-year local currency growth in the quarter, indicating substantial market share gains as overall market volumes were down 13%. This transactional revenue growth was broad-based across the region, but there were noteworthy increases in our hotels business, as well as in China and Singapore. We're also seeing sustained growth across our annuity businesses in the region. Property & Facility Management fee revenue was up 13% in local currency for the year. We've announced several new corporate solutions wins in the fourth quarter across Asia Pacific, which Colin will discuss shortly. You'll recall that we responded to inflationary pressures, primarily in China and India, with compensation increases in the first part of 2012. Beyond those market-driven actions, costs have been tightly controlled given the political and economic uncertainty that emerged in the middle of the year. That cost discipline, coupled with the revenue performance, led to a very strong fourth quarter result for the region. LaSalle Investment Management had a solid performance for the year, with a mix of stabilized advisory fees and excellent incentive fees and equity earnings. Assets under management have remained relatively unchanged from a year ago, with assets from older funds being sold with good performance. And at the same time, we've been actively pursuing capital raising initiatives with separate accounts, strategic partnerships and new co-mingled funds for future growth. In 2012, we recognized $24 million of equity earnings and earned $23 million of incentive fees, demonstrating performance for clients, although the availability of remaining assets for sale to achieve these high-margin fees are not expected to repeat at these levels in 2013. Turning to the balance sheet. We had a highly successful and well-received $275 million bond issuance. The 4.4% senior notes were sold to a diverse group of investors and further strengthened our liquidity and balance sheet position. I mentioned we made a $115 million payment in the quarter to the majority of the Staubach shareholders who are with the firm, and we also recognized additional earn-out obligations to be paid in the first half of 2013, bringing the total amount earned to $36 million. The earn-out required compounded revenue growth over the last 4.5 years against an overall market that was down for a number of those years. The fact that we are making this earn-out payment demonstrates the success of the merger. To sum up, we had a very solid fourth quarter that fueled record-setting revenue and helping earnings per share growth for the year. We took market share across the Americas, delivered margin expansion in EMEA, continued to grow our annuity revenue base in Asia Pacific through the strength of our Corporate Solutions business and benefited alongside of our clients from the investment performance in LaSalle Investment Management. Let me now turn the call back to Colin.
Colin Dyer: Thanks, Lauralee. Back to our slides, and Slide 5 shows a few examples of recent wins across our business and geographies. In our corporate outsourcing business, we won 9 new assignments in the fourth quarter, renewed 16 contracts and expanded 8 additional relationships. Full year totals include 48 new relationships, 47 renewals and 39 expansions. These numbers do not include wins in our local market level of corporate solutions business which serves the needs of mid-market corporate clients. During the quarter, we won 13 new assignments in this segment, representing more than 90 million square feet of space. For the year, we won 58 assignments, encompassing in total 180 million square feet. In terms of specific wins in the corporate sector, just last week, HSBC named us exclusive global facilities management provider for that bank's 58 million-square foot portfolio. This massive expansion of our relationship with HSBC more than doubles the square footage we'll manage for the bank, and the assignment represents the largest-ever outsourcing of facilities management service to a single provider by a financial company and follows an exhaustive and objective process by the bank to select a provider from amongst the industry's major players. In the fourth quarter, our European facilities management team also secured a global contract with Nippon Sheet Glass, covering 500 sites in 30 countries worldwide. And demonstrating our growing presence in China's domestic market, we were appointed by Sinotrans, a state-owned enterprise in shipping and logistics, to project manage a new 1-point-million square foot headquarters in Beijing. Turning to our investment sales activity, in the Americas, we represented the seller in the sale of 540 West Madison, which is 1.1 million-square-foot office tower in Chicago. The transaction was Chicago's largest office trade in 2012. In Switzerland's largest-ever single-asset real estate deal, we advised Credit Suisse of a $1.1 billion sale and leaseback of its Uetlihof building in Zurich. And in Australia, we represented McGrathNicol in a USD 260 million debt sale for a regional shopping center in Sydney. Turning to major leasing and tenant representation transactions and management assignments for the quarter. In the U.S., we represented Wells Fargo on multiple leases totaling 480,000 square feet in Minneapolis, St. Paul, helping the bank consolidate and reduce its overall footprint in the process by 20%. In January, Scottish Widows Investment Partnership renewed and expanded our property management assignment for its GBP 8.5 billion U.K. portfolio. And in the fourth quarter of the Barangaroo development in Sydney, we represented KPMG to secure a lease for 370,000 square feet of premium office space. While for the full year, we leased nearly 1.3 million square feet of space at Barangaroo. Turning to LaSalle Investment Management. LaSalle's position in core investment strategies remain strong in 2012, although capital allocations remains slow for co-mingled funds. However, large institutional investors continued to seek significant single assets. And as I said in my opening remarks, LaSalle is addressing this market with its strategic partners program, forming partnerships with major investors to target specific strategies and assets. With its global presence and a great track record for complex transactions, LaSalle is well-positioned to bring opportunities from around the world to these clients and has a talent and expertise to serve them successfully. In addition, November saw a successful launch of the Jones Lang LaSalle Income Property Trust, a non-listed REIT, which owns and manages a diversified portfolio of high-quality, income-producing properties. Merrill Lynch had been engaged to distribute the shares of JLLIPT. So let's now turn our attention to 2013 and our near-term market outlook. In general, the economic recovery, which has been hesitant, from a worldwide perspective, is set to continue. But we expect that it will pick up momentum as business confidence rises, driven by the understanding that the twin problems of U.S. fiscal issues and the Euro breakup have been contained and can be managed. This means that together with Central Bank easing and liquidity provisions, they now represent much lower short-term risks to business and investment planning. Confidence is rising as a result. As you would have seen, equity markets are broadly reflecting this sentiment. Bank debt markets are healthy in Asia and increasingly so across the Americas, while new providers of debt are showing interest in filling the gaps in Europe. Taken together, the economic outlook and general business confidence are more positive than 12 months ago. Our latest projections show 2013 global GDP growth of 2.5%, Asia Pacific is expected to lead the way with 4.5% growth, followed by the Americas at 2% and Europe only marginally growing. So what does this overall economic background mean for real estate markets? In investment sales market, better-than-anticipated fourth quarter 2012 results indicate renewed momentum that will continue into this year. We project global investment volumes to increase by 10% to 15% in 2013, reaching in total between $450 billion and $500 billion worldwide. The strongest upside potential in this is in the Americas, where we expect transaction volumes to increase by 15% to 20%. We forecast that Europe will see a level of investment activity marginally below last year, but with upside potential there as well particularly in secondary markets. Asia Pacific investment volumes are expected to increase by a healthy 15%. Sustained investor interest in core product in major markets is likely to keep prime yields stable. And with this risk appetite improving and pricing looking full for best assets, the cycle will progress to increasing interest in secondary markets. Leasing markets appear less resilient. Overall, we expect 2013 global leasing volumes to rise less than 5% on 2012 levels, with the year's second half likely to be stronger than the first 6 months. U.S. investment volumes are projected to grow by about 5%. Leasing activity in Europe is expected to be flat, and Asia Pacific is anticipated to register a 5% to 10% decline in volumes. We expect the global office vacancy rate to continue to move lower this year to below 13% by year end, with the largest declines likely in the U.S. Prime rental growth is expected to match 2012 rates of between 2% and 3% as a global average, with most major markets registering single-digit rental growth this year. Against this background, we see opportunities for continued growth in our own business. In the Americas, thanks to our investments and transaction teams earlier in the cycle, we expect to see additional growth and market share gains in our leasing and capital markets businesses. And our corporate outsourcing services continue to gain momentum as we win major global contracts and new mid-market assignments. Our Asia Pacific business is also entering 2013 in a much stronger shape than at the start of 2012. The market has equity to invest, and more of it is being directed into real estate. Debt is available from the banking system and confidence is improving in China, thanks to the successful leadership transition and the reversal of successful anti-inflation credit controls. In India, the government has reversed the 2011 -- 2012 loss in business confidence by controlling inflation and picking up the stalled economic reform process with a vengeance. Recovery continues in Japan where the new economics represent the most comprehensive move yet to kill deflation and energize growth. We see solid momentum in growth in Southeast Asian countries also. Given our leading positions in each of these markets, we approach 2013 with optimism for Asia Pacific. Economic and real estate market conditions in Europe are not expected to get worse this year, but there will be some challenges. So continued proactive management rather than improving market conditions will drive our continuing growth in Europe. Europe will remain 2-speed market of both leasing and investment sales. Largely Northern cities are moving along relatively well, while markets in Southern Europe are obviously struggling. There will be continued significant interest among international investors in core assets, with many new buyers emerging from Asia. The prime locations remain key, and this plays to our market-leading positions in London, Paris, the major German cities, Central Eastern Europe and Russia. In LaSalle's world, institutional investors are maintaining and, in many cases, increasing their allocations to real estate, attracted by returns that compare favorably to other investment options. In addition, the co-mingled fund sector, which I have noted was effectively shut down for the last 4 years, is showing very early signs of reviving. Capital hasn't yet returned in substantial amounts, but sentiment is improving. In this environment, we believe LaSalle Investment Management will continue to generate steady advisory fees by focusing on its core investment strategies, while also introducing new products like JLLIPT and attracting new capital sources with initiatives like its strategic partner program. So in closing, as on past calls, we'd like to close our comments by mentioning a few awards which reinforce our position as industry leader and reflect our client service focus. Our fourth quarter recognitions included 3 Best Property Consultancy awards in the Southeast Asia Property Awards for Indonesia, the Philippines and for our hotel team in China. Intel's award for excellent service was presented to our facilities management team in Dalian in China; 3 electing agents of the year awards were received in Belgium's Expertise Awards; the Property Consultant Of The Year at the Health Investor Awards in the U.K.; and in the U.S., Best Places to Work awards in Chicago, Philadelphia, Tampa Bay and Florida. So that is enough monologue. Let's now move to dialogue and take your questions. Operator, could you outline the Q&A process, please?
Operator: [Operator Instructions] And your first question comes from the line of William Marks from JMP Securities.
William C. Marks - JMP Securities LLC, Research Division: I wanted to start out with a question on margins. Did you -- I appreciate the color on the fourth quarter. Did you say anything about 2013, or can you just on expectations, whether it's Americas or global, if you expect the margins to improve?
Colin Dyer: Well, we showed -- if you add back the various points of correction, which we mentioned and included in that the accelerated amortization bonus payments and the Staubach compensation expense which Lauralee mentioned, we did see an improvement in our overall operating margin on an adjusted basis in 2012, both for the full year and for the fourth quarter. So on a true apples-to-apples comparison basis, we are pleased with the progress we made. As Lauralee said, we're particularly pleased with the results in LaSalle and in EMEA for the year where we showed good progress against, in EMEA's case in particularly, difficult background. I guess, in an overall sense, we had hoped to see a little bit more progress in the Americas. Frankly, we were surprised at how weak the leasing markets were in the fourth quarter, and so we stepped the business up to handle bigger volumes than we saw in Q4 to the numbers we just mentioned. We did show growth, but against the market it was down 30%. If the market in the U.S. have been anything like sort of normal, somewhere up between plus or minus 10%, we believe we would have shown a nice performance on our margins in both in Q4 and the full year. The mixed bag there, when we look forward, well, we said before, we'll continue to build and grow these margins. We believe we have been hitting the right thing and doing the right things to the progress we showed last year. We hope to see it continued into next.
William C. Marks - JMP Securities LLC, Research Division: Did the -- to take that a step further, you mentioned the $31 million is deferred acquisition obligation we paid in the first half of 2013. That could be a pretty significant hit to margin, but we'll be able to -- you'll be disclosing when that's paid, I assume?
Lauralee E. Martin: That's a balance sheet number, so there's no impact to margin for that. That's purchase price.
William C. Marks - JMP Securities LLC, Research Division: It will not, okay.
Lauralee E. Martin: That's correct.
William C. Marks - JMP Securities LLC, Research Division: But the $5 million from the quarter did impact [indiscernible]
Lauralee E. Martin: That is correct. What -- when we set up the deferred payments, they were set up that we would accrete interest in. So we've been accreting interest in at about a 6% level as it came due to maturity of that deferred payment. Because of the fact that, in fact, we exchange that for some benefit in terms of employment, that changed interest into compensation. So it would have been an interest expense in 2013, it moved into a compensation expense in 2012.
William C. Marks - JMP Securities LLC, Research Division: Okay, that's clear. A question on investment management and just as you start to look at the significant quarters of 2013, you had a really strong first quarter of 2012. And I guess, you kind of implied we shouldn't expect that to be repeated, and there was something like a 50% -- or $0.50 EPS number, more normal years are single-digit EPS. I mean, I guess I know you're not going to guide, but am I thinking about this correctly?
Lauralee E. Martin: It would be significantly lower. Yes, that's correct.
Colin Dyer: It was driven by debt payments and equity earnings in Q1 and Q2.
Lauralee E. Martin: I think it was quarter 3 when we sold the large portfolio in Asia.
Colin Dyer: Yes.
William C. Marks - JMP Securities LLC, Research Division: Okay. And then just my last question on balance sheet typically does weaken in the first quarter because of bonus payments. Can you give us some indication of what we could see in the first quarter?
Lauralee E. Martin: Well, you are correct. We pay our bonuses in the first quarter. That being said, we also have pretty aggressive receivable collections in the first quarter off of our year end numbers. We do...
Colin Dyer: Typically, it's a couple hundred million dollars up.
Lauralee E. Martin: Yes. The balance sheet does have the accrued balances for compensation, if that's a helpful way for you to look at it.
Lauralee E. Martin: Yes, I can look at that. Okay, that's all for me.
Colin Dyer: It will be the regular cyclical pattern, Will. Season, I should say, not cyclical.
Lauralee E. Martin: Yes, if you look at the balance sheet, we had $30 million more of accrued compensation at the end of this year versus 2011, and you can look at last year's sort of bonus levels and probably work through that.
Operator: And your next question comes from the line of David Gold with Sidoti.
David Gold - Sidoti & Company, LLC: So a couple of questions. One was I wanted to get a sense, there's some talk out there the way your fourth quarter, particularly domestically, of some delays in deal activity sort of on both sides, leasing, as well as a little bit of capital markets from the fiscal cliff issues that we had. And was curious if you can give a sense for, a, if that may be weighed on your numbers a little bit in the fourth quarter and, b, if to the extent that's sort of coming back if we might see some of that in the first quarter?
Colin Dyer: We arrived in terms of the perverse and diverse impacts of the fiscal cliff issue. It looks as though it drove leasing volumes down as uncertainty caused the companies to wait to see what the implications of the fiscal cliff would be on overall demand. And it drove leasing -- it drove capital markets activity up. We think that's because people are trying to get out before any changes in tax regimes, so you have this plus 40% in the market for investment sale and minus 30% in the overall leasing activity markets. Against those numbers, we were very pleased with our performance in leasing because we went up 9%. As I said, in a regular market, that would have been a bigger growth we believe. Whilst in capital markets, our growth was up in the 20s percent, so not quite as steepy as the market as a whole. I would -- you would logically expect, although this isn't a prediction, that you would logically expect that with resolution of the fiscal cliff deal, you'll see some of the leasing activity which might have taken place in Q4 come through in Q1. And again, logically you'd expect that perhaps the capital markets got ahead of itself and it might be a little bit of a fallback in Q1. Having said that, there does seem to be a lot of momentum in the capital markets as I reflected in my comments, and so it just may pick up where it left off.
David Gold - Sidoti & Company, LLC: Perfect. That's helpful. And then just I guess part 2 of that question. I know you don't typically offer guidance.
Colin Dyer: We have never offered guidance.
David Gold - Sidoti & Company, LLC: Although years ago you might have. Just either following up, I guess, a little bit on Will's question. If even though last year was pretty strong with some sort of onetimes, if you will, as we think about this year with the momentum continuing, do we think about it more as a traditional nearly breakeven first quarter? Or do you think we could have some upside from that continued momentum?
Colin Dyer: I think that leads you to draw your conclusions from the next year of the comments on the numbers and last year comparisons, David. But what we try and do in the way we present our market -- our forward market view, we try to do that as helpfully and comprehensively as possible for you, perhaps reflecting how we're thinking about the world we're trading in. And so you can take those comments and spread them across our numbers and, as I said, draw your conclusions.
David Gold - Sidoti & Company, LLC: Perfect. One last. Presumably, as I think you said, the Staubach -- the accelerated payment was a function of contract renewals. Can you give us a sense for if you can put out there an average time period for the renewals? In other words, when is the next time you'll have to worry about that?
Colin Dyer: Well, we haven't disclosed that. We will not. But what we can say is that the acceptance rate, if you like, the willingness rate for people to sign on for longer periods was extraordinarily high.
Lauralee E. Martin: And David, what we will say is they were to end mid '13, so clearly that gives you an idea it's got to be if it's worthwhile for us that's sort of when this -- it would have been before.
David Gold - Sidoti & Company, LLC: Say that again, I'm sorry?
Lauralee E. Martin: The contract expiration would have been when the payment was to have been paid, which would have been July of 2013. So obviously it's going to definitely move it out beyond this entire year period.
Operator: And your next question comes from the line of David Ridley-Lane with Merrill Lynch.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Just was wondering on the restructuring actions that you've sort of taken already in EMEA. What would be the full year benefit that you'd see in 2013?
Colin Dyer: Typically, it's about an 18-month payback period for Europe.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Okay. And can you remind us the total restructuring charges taken in Europe for the full year?
Lauralee E. Martin: Yes, I can get that for you, just one sec. For the entire period 2012, we took $35 million. And I was just going to say that was a combination of people actions, and then also we took pretty aggressive actions on lease consolidations and other things. So those benefits beat in much more rapidly.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Got it, okay. And then you've got a number of moving pieces, you've got the lower deferred acquisition payment and then you also have a new bond. Any sort of help you can give us on interest expense?
Lauralee E. Martin: Well, the Staubach payment was -- interest was accreting in at a 6% rate. The bond interest will be at a 4.4% rate. Our revolving line of credit is really at an insignificant rate in 1 percentage kind of range.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Okay, that's helpful. And then are you seeing demand broaden out at all into secondary markets in the Americas capital markets business?
Colin Dyer: Just a little bit. It's a slow process because particularly in the institutional investor class. They are really looking for security. They had far too much fun losing money in the great financial crisis to be too adventurous too quickly. But gradually, as pricing creeps up in the most attractive sectors and begins to look a little rich and full for many investors, we're seeing people look outside of the very highest quality assets. And David, that's inevitable when you see these sorts of activity volume growth that we see in this year. So a normal cycle we'd see only 3 years into it, 7-ish year cycle. Normal activity would see -- normal cyclical activity would seek to move out along the risk curve and move out along the quality curve, if you like, into secondary assets. But it's a slow process in the U.S. It's even slower in Europe.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Okay. All right, well that's a little bit helpful. The sense was a little bit more optimistic in Americas at least. And then maybe I'll take one last cut at the margins. In 2012, this was a year where the G&A -- SG&A growth was outpacing revenue. Would you expect 2013 to be a year where you see less SG&A cost come back in?
Colin Dyer: There were a couple of factors in 2012, which were important. We've mentioned these through the course of the year. One was that we made a very deliberate effort in Asia to increase salaries to compensate for some heavy inflationary pressures in India and China, which were causing us retention issues. So that's one sort of excess factor on a year-on-year basis comparison. And the second was we actually built our people base in the Asian region in expectation of faster growth that actually came through because Asia slowed remarkably through -- in Chinese and Indian factors that I referred to in my prepared comments, so there was an exceptional kind of a backdrop in Asia. And as it turns out, the spurts at the year end, as confidence began to come back, helped us through that. But nevertheless, we're running with a higher cost base that we would normally have planned in Asia. And I made my comments as well about the way that the Q4 numbers in the U.S. came through in the leasing area at a slower level than we would have expected given normal markets. And that was driven by this market depression due to the fiscal cliff issue, which we discussed a moment ago with David, David Gold's question. So those things were attenuating issues or mitigating issues for the cost base in 2012. Now going into the next year, we've got no particular increase in the cost base which I -- such as the Asia ones I described, and that against the market which we believe with the exception of some European countries is feeling better than it did 12 months ago. So you put all that together, you can again draw some conclusions.
David Ridley-Lane - BofA Merrill Lynch, Research Division: Okay, all right. I lied, one more. Given the cost restructuring actions that you've taken in EMEA, would you -- is there a range of revenue outcomes that could happen in EMEA where you would still be expecting margins to be up? And for example, if revenues were down 5% in that segment, would you still expect margin expansion there?
Lauralee E. Martin: I think the way to answer that is it depends on where revenues are down because clearly we've taken actions in places to just to where we think the markets are going to be. So it's always that mix question, but we had a modest amount of revenue to help us in Europe this year. But clearly, we made a dramatic improvement in the margin activity. So we feel pretty good about where we are unless markets take a big step back again.
Colin Dyer: When your hypothetical 5% arises, it's not just a geographical issue, it's also which service lines it impacts. The 5% reduction in capital markets business has a bigger impact than, for example, a 5% reduction in Property Management business just because of the margin impact.
Operator: Your next question comes from the line of Brandon Dobell with William Blair.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: I wanted to make sure I heard you correct, Colin. You're going through the geographic expectations for the leasing business. I think you said EMEA kind of flat, Americas up 5% and APAC down 5% to 10%. But it also sound like you expect to outperform those numbers. I'm just trying to make sure I heard that correctly. Then also with those back to, I think it's Slide 7, with the rental values you guys have laid out for expectations for 2013.
Colin Dyer: Well, taking the leasing markets, first of all, we said overall leasing volumes to rise around 5%, so another overall terribly blind market. If you estimate volumes projected to be up about 5%, Europe flat and Asia Pacific 5% to 10% decline. That's the numbers more or less, right?
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Yes. Okay, that makes sense. So and then now I guess that overall 5% would be a combination of, let's call it, velocity and rental values. So kind of volume and price, or is there some other factor we need to think about in terms of how to model your leasing revenues this coming year?
Colin Dyer: No, these volumes are square footage or square meters, so the basic things. And you refer against that, the comments we made on the overall market price. I think we expect -- we said we expected on the global basis rental rates would increase by 2% to 3%.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay, perfect. And it doesn't sound like there's -- we should anticipate any, I guess any noticeable changes in headcount trajectory in any of the geographies based on the kind of growth rates you are expecting, but I just want to make sure that that's how I should think about it. Or if there's, given your -- the potential for secondary markets to improve this year, if there's an eye towards adding some people in markets where you don't have a big enough presence either in Americas or EMEA?
Colin Dyer: Well, we take a very dissected view of what we do in adding people. So if we see opportunities in the cities of Germany to add teams, and we think the market will be positive then we'll go ahead and do that. If we think that in some cities in the U.S., volumes activity will be flat, then we'll just simply, in overall sense, hold our numbers. We've taken an overall approach, which is particularly this time at the beginning of the year, we're looking to keep our cost and therefore headcount tight, watching for market developments and direction, and then we can move to our numbers rapidly in some areas such as project management or property management where we're seeing new contracts of business coming through. It's harder and slower in the transaction business areas where we have to -- where we have a different approach, which is to have a constant list, if you like, of people we have in mind to hire good operators in specific markets and when lesser market is actually turning down. We'll take the opportunity to hire those people as and when we can, as and when they're prepared to move from their existing employers.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay, that makes sense. And then maybe one for Lauralee. The kind of year-on-year delta around stock compensation or incentive compensation on the compensation line, given that there is kind of a step up, it's a bit nonrecurring. How do we think about next year as a delta versus this year modeling stock compensation? And then maybe even on a longer-term basis, is there a way we should think about it relative to other headcount growth or overall G&A expense that we can get a little more visibility into?
Lauralee E. Martin: Well, the -- I think what you're referencing is the share ownership plan, our SOP program. And what you have there is a portion of the current year bonuses would have been deferred, so not in the expense of the current period. And then that amount would get amortized over a 30-month period. We now have 2 comparable years where there is not a deferral. There's a little bit of tail of amortization left from the prior 2011, but I would say generally, for modeling purposes, I would look at it and say 2012 now can be used as a proxy.
Brandon Burke Dobell - William Blair & Company L.L.C., Research Division: Okay, perfect. And then final one for me. Any thoughts on CapEx and co-investments in '13? Should we think about it like '12? Or is there going to be a step up in either one of those line items?
Lauralee E. Martin: Right. We have CapEx of about $80 million this year. We have some planned technology investments in 2013, so we think that $80 million will go to about $90 million. We actually had a robust coinvestment outflow for LaSalle Investment Management, one of the most robust we had in a long period of time over $105 million. We also had, because of the portfolios we sold, a lot of money coming back. So net-net, it was not that large of a number. I think about $27 million, if I remember correct. I would say we typically tell you net $40 million to $45 million, and I think that's probably a good place. If something were to change, we would advise you on a quarterly basis, but right now I think that's probably a good number for modeling purposes. We were very pleased, by the way, with the money going out because it's a start of building that new portfolio to get the potential for the coinvestment fees and building the portfolio and obviously getting equity earnings as well.
Operator: And your next question comes from the line of Todd Lukasik with MorningStar.
Todd Lukasik - Morningstar Inc., Research Division: Just on the leasing volumes. I guess, first of all, I think in recent years, maybe 2010, 2011, there was a feeling that some tenants may have tried to take advantage of the low lease rates at that time coming out of the downturn by renegotiating leases maybe 1 year or 2 or perhaps even longer before their existing leases expired. And I was just curious what your sense was for how that played out in 2012, and whether or not that phenomenon is still ongoing at all or whether it's back to more of a normalized environment?
Colin Dyer: Yes, there was a little bit of that behavior, Todd, in earlier years. It didn't seem to impact 2012 too badly until we got to Q4. In other words, we were looking at fairly regular lease markets in the U.S. until this big dip in Q4. So I think it's one of those things, one of these phenomenons which was a lot of talk and a lot of fear that didn't seem to play out too much, in fact. And of course, as we get into 2013, we're getting that much further away from those low and advantageous lease rates.
Todd Lukasik - Morningstar Inc., Research Division: Right, okay. And then just on the drivers of your leasing revenue, and you talked about the square footage and the rents, is there a third driver in terms of lease term? And if so, what do you see in terms of average lease term for leases today? Is it sort of in line with what you would expect or historical norms or are the lease terms getting longer or shorter?
Colin Dyer: Two further factors. There's lease terms and then there's substantive fee rate. You can take the latter as being sort of flat year-on-year. Some places we're seeing a bit more competition than others. For example, Britain has a lot of competition because there's such pressure in the market there and middle sized providers are fee cutting in order to preserve or try to preserve some market position. And in general, the rate is flat. As to terms, they have tended to come in and be sure sort of the bottom of the cycle, and people are less confident and therefore want to take short renewals or just extensions. But as the cycle progresses, which is what we're seeing now, people take and confidence picks up, people take longer lease terms. So we're in an extending period, but this is not a dramatic impact.
Todd Lukasik - Morningstar Inc., Research Division: Okay. And then just last for me. I was particularly curious with regards to HSBC. If you'd be willing to disclose a number of sort of viable competitive bids for that global business you won?
Colin Dyer: Well, I wouldn't comment specifically on HSBC because I wouldn't be correct. But what typically would happen in those sorts of big global bids is that they will put an RSP out. They will be on a global scale, not really more than 5 credible competitors and not all of them will be equally credible. And typically, they will go down through a process of elimination to 4 and 2 and then make a choice. So it's either the final rounds tend to be 2 or 3 players. They rarely go beyond that because it gets to be a lot of work to a professional on the part of the client to do a professional job in evaluating more than that in the sort of detail we get into in those final rounds. But this, like many others, most others, was a very professionally run process, and those take a lot of work on both sides, both the client and the providers.
Operator: Your next question comes from the line of Mike Mueller from JPMorgan.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: I guess sticking with HSBC for a second. If we're looking at, I guess, the geography of the portfolio, can you talk about how it's going to be divided up or split up between, say, the Americas, Asia Pacific? Is it heavily skewed toward one region?
Colin Dyer: No, that's why they picked us. There's lots in America. There's lots in Europe and there's lot in Asia, and we're good in all 3. So in fact, we tend to be the best in all 3. So that's why we were chosen, and we're very pleased to have been chosen. We now have to perform of course. And then typically just to add some more financial color to it, these contracts don't start making money for it immediately. It will take a while to crank up, there's a period of investment which can take up to a year. And then only be on that do we start to see a gradual increase in returns, which improves during the course of the final years of the contract.
Lauralee E. Martin: And I might add on that one. We currently, in the U.S., do HSBC's work so we've retained that business and are expanding it and will have a broader reach in the Americas moving into South America. But yes, Colin's correct, it's a global portfolio.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Got it. And what's the overall square footage base for the, I guess, Property & Facilities Management business?
Colin Dyer: Globally?
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Yes.
Colin Dyer: 2 billion. 2 billion feet.
Lauralee E. Martin: That -- yes, I think that includes property. Are you looking for...
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Facilities Management.
Colin Dyer: You said property and facilities.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Oh, yes, property and facilities. Yes, both.
Colin Dyer: Yes, okay. And we could provide you with the split between the facilitates which is corporate work and property which tends to be investor work.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Okay.
Colin Dyer: Or maybe not straightaway.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Okay. And then I guess going to the market share and leasing, particularly in the Americas, can you talk about what areas you were specifically doing significantly better in the market? Is it certain geographies, certain asset types? Can it wrap just any areas there?
Colin Dyer: Well, into the asset types, core business had always been the office leasing market, so that would be the most important. Though we've had a policy of investment, both in the retail area and more recently in the industrial markets, not only within the U.S. but also worldwide. So that's the comment. It's overwhelmingly office-oriented still. In terms of geographies, you can see our geographical footprint. The biggest cities we do, obviously proportion -- we do the biggest proportion of our business and within individual cities such as Washington, we're market leaders. New York we'll be #2 or 3 and so you'll see us vying in those top -- somewhere in the top 3 positions in all of the major markets we represented.
Michael W. Mueller - JP Morgan Chase & Co, Research Division: Okay, great. And I guess the last question, what was the trigger for the accelerated Staubach payment to happening, I guess, in Q4 as opposed to just in August?
Colin Dyer: Lauralee?
Lauralee E. Martin: Well, it clearly is advantageous for anyone receiving income in the United States if it was done in 2012 versus '13. And for us to have an opportunity to give the benefit to our colleagues and also have a benefit for the firm seemed to us like a very good option.
Colin Dyer: And additionally, we got -- and that was a -- as a recognition of their commitment to us, we've got this sort of overwhelming confidence in extending the commitments from those people, so it's a good 2-way balance.
Operator: And your next question comes from the line of Will Marks with JMP Securities.
William C. Marks - JMP Securities LLC, Research Division: A couple of follow-ups. One, tax rate, should we expect kind of ongoing around 25%?
Colin Dyer: Yes.
Lauralee E. Martin: Yes.
William C. Marks - JMP Securities LLC, Research Division: Okay. And then lastly, I don't believe you mentioned this medium-term margin target, EBITDA margin target of 14% to 15%, maybe it's in the slides. Any thoughts on that?
Lauralee E. Martin: We've not changed the target, if that's the base of the question. And we've always said a great deal of when it would be achieved would be when we saw more normal markets. To Colin's comment on markets being down year-on-year in leasing, that clearly slowed some of that achievement but it doesn't change the fact that we're on track and are making productivity impacts across the business as we get more normal markets.
Colin Dyer: And for us, Will, the most pleasing -- I mean, as I said, fully normalized, we did progress by 0.75 percentage point last year on an overall sense. But perhaps the most pleasing one was to see a couple of percentage points progress in Europe, which by [indiscernible] into its high cost of labor, its fragmented market structure because of the individual country, fiscal and legal structures that you need to run and the limited options for synergy of -- for cost synergies across the geography, we were pleased to see that progress there, and we're trying to work hard to continue that momentum.
Operator: And there are no further questions at this time.
Colin Dyer: Good. Well, thank you, operator, for your help, and thank you, everybody, for your interest in Jones Lang LaSalle. We look forward to seeing you in a couple of month at the end of our first quarter for our Q1 2013 results. We wish everybody a good evening.
Operator: Thank you for your participation, everyone. This does conclude today's conference call. You may now disconnect.